Operator: Good day, ladies and gentlemen, and welcome to the Renewable Energy Group Inc. First Quarter 2013 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. As a reminder this conference call is being recorded. I would now like to turn the conference over to your host Monte Bullock, Treasurer. You may begin.
Monte Bullock: Thank you. Good afternoon everyone, and welcome to our first quarter 2013 earnings conference call. With me today is our President and Chief Executive Officer, Dan Oh; and our Chief Financial Officer, Chad Stone. We are here to discuss our first quarter financial results and recent developments. Before we begin, I would like to remind everyone that this call is being webcast and is available at the Investor Relations section of our website at regi.com. A replay of this webcast will be available on our website beginning late this afternoon. The webcast includes an accompanying slide deck. The slides will appear automatically with the webcast, but you will need to advance them manually as we prompt you. For those of you dialing in, the slides can be downloaded, along with the earnings press release, in the Investor Relations section of our website. Turning to slide 2 we would like to advise you that some of the information discussed in this conference call will contain forward-looking statements. These statements involve risks, uncertainties, and assumptions that are difficult to predict. Such forward-looking statements are not a guarantee of performance. The company's actual results could differ materially from those contained in such statements. Several factors could cause or contribute to such differences. These factors are described in detail in the risk factors and other sections of our annual report on Form 10-K and quarterly reports on Form 10-Q, which are on file with the SEC. These forward-looking statements speak only as of the date of this call. The company undertakes no obligation to publicly update any forward-looking statements based on new information or revised expectations. Today’s discussion also includes non-GAAP financial measures. We believe these metrics will help investors to assess the operating performance of our core business. Please see the press release for a reconciliation of the non-GAAP measures to the most comparable GAAP measures. With that, let me now turn the call over to our President and Chief Executive Officer, Dan Oh.
Dan Oh: Thank you, Monte and thank you everyone for joining the call. I want to start by reviewing our operations in the quarter including recent developments. After that I will turn the call over to Chad for additional financial details. You will see that the retroactive Biodiesel Mixture Excise Tax Credit commonly referred to as the blenders tax credit was recognized in the first quarter of 2013 financial statements. The result is a net benefit of $57.4 million. Chad will provide further details about this later. Beyond that this was the best first quarter for production and gallons sold in the company’s history which serves as evidence that we are building a profitable, durable and reliable business. Our ability to utilize lower cost raw materials at commercial-scale biodiesel plants and then distribute our product nation wide is the foundation of our business. With respect to our operations in the first quarter we sold 39 million gallons of biodiesel an increase of 14% compared to Q1 of 2012. We generated $22 million and adjusted EBITDA for the quarter after removing the $57.4 million net benefit from the retroactive 2012 tax credit. Chad will review the details of our adjusted EBITDA calculations later in the call. Meanwhile let me now discuss significant actions we took in the first quarter to enable REG to sustained it’s growth then I will address some of the factors that we believe have produced favorable market conditions for biodiesel. In first quarter we proactively took advantage of the favorable feedstock pricing and strong RIN prices resulting in attractive margins. We did this by producing and storing high cloud biodiesel intended for warmer weather sales where we typically see higher demand. In 2012 we announced several new North Eastern terminal locations and in the first quarter we added one more in Rochester, New York. These terminals drove new sales for REG this quarter modestly reducing the seasonality in our business. Most notably the Northeast heating oil market is increasing it’s use of biodiesel creating a new source of winter demand. Our upgrade project at REG Albert Lea remains on track to be completed by the end of the second quarter. This upgrade will allow us to bring in a wider variety of raw materials including inedible corn oil and used cooking oil. In addition as planned our technology and manufacturing team is nearing completion of the repairs at our New Boston, Texas facility. Today we are using this site as a terminal location and for feedstock pretreatment. Biodiesel production is slated to begin by the end of the second quarter. As part of our focus on improving and expanding our national infrastructure we are expanding at Seneca in meaningful ways. We are increasing storage capacity there by 1.5 million gallons which can be used for either feedstock or biodiesel. This gives us more flexibility and how we run the plant. We also know how all necessary approvals and our building barge load out capabilities for transport on the Illinois River which is tributary to the Mississippi River. We expect the terminal to be completed by the end of the first quarter of 2014. Barges will allow us to move larger volumes of fuel more efficiently. Also in April we signed an exclusive one year agreement with Iowa Renewable Energy, LLC to contract manufacture biodiesel with the nameplate 30 million gallon multiple feedstock biorefinery in Washington, Iowa. This is a good fit for REG because we were the general contractor and technology provider for the construction of that plant. Gallons from their facility will augment our new and existing sales contracts. We continue to be focused on optimizing and improving our network of biorefineries. This is confirmed by the fact that during the first quarter our fleet operated at over 90% of this nameplate capacity of 212 million gallons per year. Now let us turn to market conditions which we believe are favorable for biodiesel. As you know the 2013 renewable volume obligation is set for 1.28 billion gallons or 28% growth over the last year. In the first quarter U.S. biodiesel industry produced nearly 290 million gallons or approximately 22% of the 2013 RVO. This base level of demand has been supported due to there is another categories of renewable fields. RFS2 specifies levels of use for several types of renewable fields. Biodiesel RINs can fill three of the four categories is required by RFS2 because biodiesel was an advanced biofuel biodiesel RINs count towards obligated part of the requirements for biomass based diesel as well as the overall advanced biofuel target. Further biodiesel RINs can be used to meet renewable fuel targets. Corn ethanol for example is categorized as a renewable fuel. As you can see on slide seven today biodiesel RIN prices are trading in purity with advanced biofuel RINs because of the flexibility of biomass based diesel RINs. We believe that this market situation benefited both our bottom line and the whole biodiesel industry throughout the first quarter. As always we remain cautious in our Wall Street market volatility. We are monitoring potential imports of renewable diesel or biodiesel which would impact our industry. We have instituted and improved RIN inventory management system internally to help manage this volatility. To conclude we are pleased to report a strong first quarter and we are optimistic about the market conditions for biodiesel moving ahead. Now, I would like to turn the call over to Chad Stone to review our financial results in more detail. Chad
Chad Stone: Thanks, Dan and good afternoon everyone. Please turn to the financial highlights starting on slide eight. As Dan mentioned this was REG’s best first quarter for both sales and production. In the first quarter of 2013 we produced 39.9 million gallons of biodiesel and sold 38.9 million gallons. Gallons sold increased 14% year-over-year and our sales included 6 million gallons from third-party producers. Even after adjusting for the impact of the retroactive tax credit this was also our most profitable first quarter ever. Strong demand for RINs resulted in higher RIN prices then we forecasted when we last provided guidance. This coupled with stable feedstock pricing enabled us to generate $22 million in adjusted EBITDA for the quarter after adjusting for the $57.4 million net benefit from the 2012 retroactive reinstatement of the tax credit. I’ll discuss this a little bit more in detail in a minute. Let me start by walking you through our revenues. It can be a bit confusing due to the required accounting for the 2012 retroactive tax credit that became loss in 2013. As we discussed last quarter’s earnings call since the retroactive reinstatement of the tax credit occurred after year end were required to account for the 2012 benefit in 2013 even though related to 2012 contracts and sales. I want to give you the before and attributes so you can understand the impact of the benefits in the various components to be able to compare our performance on an apples to apples basis. Slide nine attempts to layout all those components for you before we go there let’s go back to our financial highlights on slide eight. Revenues for the quarter were $339.3 million this compares to revenues in the first quarter 2012 of $188.2 million. Revenue consisted of $189 million of biodiesel fields and $150 million from the tax credit listed in our income statement as government incentives. $127 million of that $150 million is related to 2012 while the remaining $23 million relates to 2013. Revenues from RINs, soap products such as Glycerin and FFA feedstock steel demerge and storage were $37.5 million. As Dan described strong demand for biodiesel has caused RIN prices to increase from around $0.50 per RIN at the beginning of the year to over a dollar per RIN during the first quarter. Yesterday biodiesel RINs closed over $0.90 per RIN again this is much higher than the $0.55 per RIN in our original forecast when we last provided guidance. During 2012 when the reinstatement of the tax credit was uncertain we negotiated arrangements with many of our customers to share the benefits of the credit should it be reinstated. The shearing of risk was built into the pricing of our biodiesel. As a result reinstatement of the credit also triggered around $70.5 million in cost of good sold for reimbursement to customers of the portion of the credit they were contractually entitled to receive. In other words we collected all the payment and then passed on the amount of the tax credit over to customers for the contracts we negotiated with them in 2012. If you can see on slide nine the net 2012 tax credit benefit of $57.4 million is made up of $127.9 million of revenues less $70.5 million of cost of good sold. In our GAAP results this benefit will flow to the bottom line for 2013 in the first quarter. However because of this benefit relates to 2012 efforts we adjust from our 2013 adjusted EBITDA. Now looking at the rest of the income statement GAAP gross margin was 25.4% and adjusting for the 2012 tax credit impact I just described adjusting gross margin was 14%. SG&A was $9.6 million down 26% from the year ago quarter which is primarily due to a decrease in non-cash stock compensation remember last year’s IPO triggered accelerated vesting of awards and related expenses in 2012. Interest expense decreased to $576,000 from $1.1 million in the year ago quarter and this can be attributed to the reduction in our overall term debt outstanding. Income tax increased significantly to $30 million from $1.4 million which is a result of the large increase in operating income. This represents a 39.4% effective tax rate compared to the 9% last year. In 2012 we fully utilized the remainder of our valuation allowance although we do have $15 million of net operating losses remaining that we expect the full use in second quarter based on our forecasts. We are now modeling a 40% effective tax rate going forward. Net income was $46.4 million compared to $14 million last year. Diluted earnings per share were $1.25 based on $36.6 million dilutive shares which reflects the adjustment for conversion of the preferred. You can see this calculation in Footnote II of our financial statements on page nine and 10 when you look at our 10-Q filing. Adjusted EBITDA is a helpful measure of our economic performance because it adjusts for several non-cash another items that we believe are lessen informative to the underlying economics of our business. Having said that please review the reconciliation of GAAP net income to adjusted EBITDA included in the press release in the presentation on our website prepared for the call. Our adjusted EBITDA was $22 million after removing the retroactive 2012 net benefit of $57.4 million in the first quarter of 2013. This compares to our originally reported adjusted EBITDA of $12.7 million in the first quarter of 2012. Our first quarter 2012 adjusted EBITDA did not include any benefit from the credit. Adjusted EBITDA would have been $23.2 million or $10.5 million higher if we allocate the 2012 credit across the four quarters just based on gallon sold of course had the tax credit been in placed throughout 2012 we fully expect that our actual negotiated margins would have been different. As I mentioned earlier on slide 15, we do provide a detailed reconciliation for the retroactive impact of the tax credit. Turning to the balance sheet on slide 10 you can see we continue to strengthen our financial position. We ended the quarter with the cash and cash equivalents balance of $49 million most of our use of cash in the quarter was to build inventory and ramp up production as we discussed earlier. Our inventory days increased from 18 days at the start of the quarter to 31 days at the end. As Dan mentioned that inventory build was mostly in finished goods as we produce our higher cloud material to take advantage of attractive feedstock prices and to sell into what we expect to be better economics this summer. The increase you see in receivables primarily reflects the blenders tax credit benefit of $127.9 million as well as increase related to higher sales activity. We do expect the remaining tax credit receivable will be collected within the next month related to the 2012 tax credit. You can also see our payables increased substantially a large portion of that around $70.5 million was the 2012 tax credit benefits owe to our customers. The balance of the increase around $15 million reflects the production ramp up to meet demand. During the first quarter we increased our usage of the Wells Fargo line of credit as we increased production to meet demands. We had $27.4 million outstanding at March 31st whereas we had no outstanding balance at the end of 2012. On slide 11 our term debt is down to $36 million as we continue to pay down debt. Our average interest rate continues to be just under 5%. We invested $9.9 million in capital expenditures during the quarter for our Albert Lea and New Boston projects both of which are expected to be completed by the end of second quarter as planned. Our net book value increased to $373 million or $10.18 per share. During the quarter we continue to strengthen our balance sheet invested and improving our operations and positioned REG for growth. I’ll now turn the call back over to Dan to discuss our outlook. Dan.
Dan Oh: Thanks, Chad. We would like to provide the following financial guidance for the second and third quarters of 2013 based upon our current outlook as shown on slide 12. As we explained on our last earnings call due to the national volatility of our industry we only providing six months of guidance at a time. Also keep in mind that our guidance assumes the number of factors foremost the guidance assumes no change in the price of heating oil, soybean oil, choice white grease or biodiesel RINs of course these values are highly likely to change during the quarter. However we will not attempt to predict the value of magnitude and change. The renewable volume obligation for 2013 was established at 1.28 billion gallons 2013 demand will be impacted by the publication of the 2014 RVO but we do not expect that announcement until late in the year. As discussed we expect continued strong demand for biodiesel RINs. With that in mind in the second quarter we expect to sell between 55 million and 65 million gallons. We expect adjusted EBITDA to range between $35 million and $50 million for the quarter. At the time of our last call we guided to 55 million to 60 million gallon sold for second quarter and $15 million to $25 million of adjusted EBITDA. For the third quarter of 2013 we expect to sell between 55 million and 70 million gallons and generated adjusted EBITDA ranging between $25 million and $45 million. Please remember the normal seasonal patterns of our business where demand strengthens in the summer and is generally weaker in Q4 and Q1. Now I would like to turn the call over to the operator for the question and answer segment of our call. Operator.
Operator: (Operators Instructions) Our first question is from Michael Cox from Piper Jaffray. Your line is open.
Michael Cox: Thanks a lot. Congrats on a great quarter guys.
Chad Stone: Thanks, Mike.
Michael Cox: My first question is on the industry dynamics considering the sharp improvement here in profitability, have you started to see any sort of supply response within the industry some of the shuttered facilities restarting aside from what you’re doing?
Dan Oh: Frankly we really haven’t but we expect it we expect that the market will respond when they see favorable pricing, there are quite a few facilities out there that we believe as we had accessed to working capital can run on vegetable oil well I think those to response to the extent that will occur will be in the vegetable oil and possibly imported products side. I do want to go back and make a correction. When I was giving third quarter estimates not July but I said $25 million to $45 million and what we meant what I should have said was $25 million to $40 million just for everyone’s knowledge.
Michael Cox: Sure.
Dan Oh: But Mike we haven’t necessarily seen it and of course we did see a good 25% of 2013 RVO in the first quarter.
Michael Cox: Sure. Sure, the in terms of the 2014 RVO I know we’re early stages in this but any initial thoughts or rumblings out of D.C as to what that 2014 RVO might look like kind of entered I guess?
Dan Oh: We believe it’s going to go upward we think it will be a healthy increase but we have not seen nor do we know about a specific number. Our industry association and our industry in general are advocating for something in the 300 million gallons to 600 million gallons increase range our industry easily can do another 500 million to 600 million gallons right away we think without any perceptible impact because the capacities is already in place.
Michael Cox: Okay. And my last question given the have forward selling and hedging strategies that you can employ can you talk a little bit about what percentage of your second quarter production is already locked in from a margin standpoints and may be even if you could, if you done anything on the third quarter that would be helpful too? Thanks
Dan Oh: Yeah I’ll let Chad go ahead an answer.
Chad Stone: Sure Mike looking out to second quarter I’d say we have over 85% of that booked.
Michael Cox: And on the third quarter?
Chad Stone: Third quarter would be yeah certainly less than 50% at this point.
Michael Cox: Okay. Great, well congrats again.
Dan Oh: Thank you.
Operator: Thank you. Our next question is from Mahavir Sanghavi from UBS. Your line is open.
Mahavir Sanghavi: Hi Dan and Chad, congrats on a good result.
Dan Oh: Thank you.
Mahavir Sanghavi: Thanks so much taken my question. First question on the second quarter and the third quarter guidance, Chad can you tell us what the base assumptions are on the RIN price for each quarter and then Dan, can you share some light on how we should think about the total volumes needed for 2013 above and beyond the RVO to meet the shortfall from the ethanol RINs?
Chad Stone: So the first part of the question Mahavir was directed to me on RIN prices and assumptions and we’re generally using about an $0.80 plus or minus RIN expectation or just an assumption of course if you’re following RINs yesterday they did jump quite a bit they were over $0.90 when they closed, so it’s higher than what we got in our current assumption but those that certainly changes day after day.
Mahavir Sanghavi: Got it, so just want to make sure $0.80 for both second quarter and the third quarter roughly?
Dan Oh: Yes.
Mahavir Sanghavi: Okay. Thank you.
Dan Oh: Regarding our view on demand opportunity deal on biodiesel and biomass based diesel specific RVO targets it’s proprietary internally the calculations that we have but sufficed to say we think there is strong demand beyond biodiesel for very flexible biodiesel RINs, biomass based diesel RINs and we’ll have to see how the market moves in terms of crop, crop expectations of course we got delayed planting and other things that will affect pricing in the RIN markets especially renewable fuel in general but we think there is going to be strong demand beyond the basic RVO.
Mahavir Sanghavi: Got it, but then just want to make sure that’s not built into your guidance right now?
Dan Oh: Our guidance right now in all standard trends conservative because we’re looking pretty far ahead in terms of the volatility that we might see in terms of RINs Chad gave you a base deal on what the RINs might be but we’d rather be conservative.
Mahavir Sanghavi: Thank you. And then just a quick follow up your capacity, you added 30 million totaling, what is your total capacity for the second quarter and then the third quarter and are you I mean it seems like are you somewhat running into a capacity constraint from a total volume standpoint?
Dan Oh: Well we make expansion decisions carefully. One of the things that our manufacturing team has just been outstanding at is continuous improvement we shared that by talking about how we've been practically, we’re on the 90% of nameplate performance level across the entire operating fleet in the first quarter. So, we continue to push in terms of expansion on the side which is the one of the most capital efficiently as we do it. The facility at our Renewable Energy is the 30 million gallon per year facility in terms of veg oil performance and it is very similar to our mutant plants in terms of capacity based on varying different feed stocks. The plant at New Boston will be online and running third quarter it will still be on to a little bit of start up in terms of getting not up to full capacity and ramp up but we generally count that we should be able to run that pretty quickly at good volume. So the total access on a contracted or controlled basis is 272 million gallons and then we have the ability to purchase and market on behalf of others in the marketplace today. We do not typically run at full nameplate because we’re making profit choices based on feed stock mixes which may slow throughput but improve money.
Chad Stone: Dan I was just going to add to that Mahavir, I mentioned earlier last quarter in first quarter we had about 6 million gallons of third-party sales and we would need to continue to do about that level may be 6 million to 8 million based on the forecast that we provided in addition to what being described.
Dan Oh: And we have product that’s in inventory that we described that we would expect to sell in the second and third quarters.
Mahavir Sanghavi: Got it. Thank you guys.
Operator: (Operator Instructions) Our next question is from John Quealy from Canaccord. Your line is open.
John Quealy: Hi guys. Do you hear me?
Dan Oh: Yeah.
John Quealy: Hey congrats again. So I wondered if we could think about it this way in terms of the outperformance in normalizing for blunders if you would, can you folks talk about when your raise that sort of the EBITDA guidance for Q2 and assuming some margins improved there as well both on utilization and may be some feed stocks issues but can you talk about how much heating oil keeping the high cloud point product available helped in the quarter or will help as we go though the year as well as RIN any favorable contracts you had with RINs where you actually got to capture some of that RIN monetization just if you could keep it on a high level that’s block it out for us in terms of where that EBITDA guidance came from and may be some of the benefits to raise it so nicely?
Dan Oh: Yeah, so thank you for the question. One of the first things for everyone to remember is that when our Albert Lea facility is completing with its upgrades and has gone through a startup and workout period it will be able to process at nearly nameplate level in extremely wide range and multi feed stock raw material at high free fatty acid raw material. So, even though we’re not expanding capacity there in a significant way we do expect throughput increases we’re going to go from vegetable oil cost to goods sold to cost of goods sold more or like fats, greases and inedible corn oil. So when you’re thinking about that facility it’s a profitability opportunity dramatically changes when that turns on. Secondly, New Boston when it comes on is a multi feedstock facility already it is going through a various tiny bit of upgrade there but when that place starts running its adding multi feedstock margin. And then we really see in this biodiesel increasing demand market the multi feedstock strategy working and when the marginal gallons that are coming on line tend to more often than not be something in the higher expense cost to goods sold range that supports your spread which allows us to generally maintain or improve our margin on a relative basis. That said we do expect this good demand market to bring on more production and that’s one of the reasons we’re being more conservative in our third quarter forecast because while we don’t know what production is coming online we’re not simply going to assume the margin is going to maintain.
John Quealy: Okay.
Dan Oh: Chad any other thoughts?
Chad Stone: No, that’s it, I agree.
Dan Oh: Yeah go ahead John.
John Quealy: And then lastly so it looks like you’ve got some nice cost effective, I know you answered to one of your other questions about internal capacity expansion or currently on expansion as well as the tolling but what out straight our M&A again now that biofuels in some cases are lifting, are price points on M&A better or worse or what’s your relative appetite for the next several months? Thank you.
Dan Oh: We continue to be very interested in M&A and I continue to pursue those efforts we’re disciplined and we’re not going to do things that we don’t think we need on appropriate relative value for our business and at the same time it’s something that we think we should do.
John Quealy: Great thank you.
Chad Stone: Thanks, John.
Operator: Thank you. Our next question is from Sven Eenmaa from Stifel. Your line is open.
Sven Eenmaa: Hi thanks for taking my question. I first wanted to ask is the Iowa facility now fully available or when do you expect it to come available?
Dan Oh: Sven are you talking about REG Albert Lea?
Sven Eenmaa: The tolling facility.
Dan Oh: Oh the tolling facility.
Sven Eenmaa: Yeah.
Dan Oh: It is available and operating on our account right now.
Sven Eenmaa: Okay. Great and so in terms of soybean oil in a feedstock mix where it was in the current quarter and where do you expect that to be on the line your guidance for the third quarter of this year?
Chad Stone: Sven I’ll just jump in and say continue to be right around that 15% mark of our total feedstock of and when you think to the second half of the year when Albert Lea is converted and upgraded the net percentage will go down as convert over two other lower cost feedstocks.
Dan Oh: But at the same time to the extent that we would buy additional biodiesel produced on the market and sell it or resell it or total contract manufacturer facility or perhaps even acquire another facility its more or likely that there are low free fatty acid that oil facilities. So even as we bring on greater multi feedstock capacity would generally expect as we continue to grow or continue to see a portion that is the more expensive and keep following the path on which is move them into very flexible facilities.
Sven Eenmaa: Okay, great. And last question in terms of what were the hedging gains in the current quarter and did you guys have any revenue from RIN sales?
Chad Stone: Yeah hedge, the hedge gain was about $1.3 million, $1.4 million so very balanced we continue, if you look over a three year period it continues to consistently be around $0.02 per gallon expense that you can kind of expect with a lot of volatility but of course this quarter it was pretty flat. In terms of RINs we did take advantage of the increase in price and Dan that talked about a little bit earlier we put new practices in place to mitigate our exposure downside to RINs for example a new lower RIN limit which caused us to be in the market all the time selling RIN and so we were able to take advantage of monetizing some of those as the RIN price increased throughout the quarter.
Sven Eenmaa: Okay. Thanks so much.
Chad Stone: Thank you.
Operator: (Operator Instruction) I would now like to turn the call over to Dan for closing remarks.
Dan Oh: Hey, well thank you and again it seems like I’m going to spoke I said 272 and actually it’s 257 million gallons I was counting again New Boston when it comes online that’s already in our 272 count that is an active facility operating just not making biodiesel. So before we close I want to mention our upcoming stockholder’s meeting as we have done every year even before going public we are holding our annual meeting at our headquarters in AMES, Iowa. The meeting is more elaborate than the typical stockholders’ meeting. We hold an open house with full access to senior management team and board members. We have education sessions to reach operating unit with the managers responsible for those operations. We do a presentation and Q&A session. For those of you interested in doing a deep dive and really get into know REG I highly encourage you to come to AMES on the 16th for this meeting. If you are interested please get in touch with our Investor Relations representatives for more information. Thank you for participating on today’s call and for your continued support. We look forward to reporting to you again next quarter on our progress.
Operator: Ladies and gentlemen, this does conclude today’s conference. You may now disconnect. Everyone have a great day.